Operator: Greetings. And welcome to Quanta Services First Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator instructions]. Please note, this conference call is being recorded. I would now like to turn the conference over to your host, Mr. Kip Rupp, Vice President of Investor Relations. Thank you, sir. You may begin.
Kip Rupp: Thank you and welcome everyone to the Quanta Services first quarter 2020 earnings conference call. This morning, we issued a press release announcing our first quarter results which can be found in the Investor Relations section of our website at quantaservices.com, along with a summary of our 2020 outlook and commentary we will discuss this morning.  Additionally, we will use a slide presentation this morning to accompany our prepared remarks, which is viewable through the call's webcast and is also available on the Investor Relations section of the Quanta Services website.  Please remember that information reported on this call speaks only as of today, May 7, 2020, and therefore, you're advised that any time-sensitive information may no longer be accurate as of any replay of this call. This call will include forward-looking statements intended to qualify under the Safe Harbor from liability established by the Private Securities Litigation Reform Act of 1995. These include all statements reflecting Quanta's expectations, intentions, assumptions or beliefs about future events or performance or that do not solely relate to historical or current facts.  Forward-looking statements involve certain risks, uncertainties and assumptions that are difficult to predict or beyond Quanta's control, and actual results may differ materially from those expressed or implied.  For additional information concerning some of these risks, uncertainties and assumptions, please refer to the cautionary language included in today's press release along with the company's periodic reports and other documents filed with the Securities and Exchange Commission which are available on Quanta's or the SEC's website. You should not place undue reliance on forward-looking statements, and Quanta does not undertake any obligations to update such statements and disclaims any written or oral statements made by any third-party regarding the subject matter of this call.  Please also note that we will present certain historical and forecasted non-GAAP financial measures in today's call, including adjusted diluted EPS, backlog, EBITDA and free cash flow. Reconciliations of these measures to their most directly comparable GAAP financial measures are included in our earnings release.  Lastly, if you would like to be notified when Quanta publishes news releases and other information, please sign up for email alerts through the Investor Relations section of quantaservices.com. We also encourage investors and others interested in our company to follow Quanta IR and Quanta Services on the social media channels listed on our website.  With that, I would now like to turn the call over to Mr. Duke Austin, Quanta's President and CEO. Duke?
Earl Austin, Jr.: Thanks, Kip. Good morning, everyone, and welcome to the Quanta Services first quarter 2020 earnings conference call.  On the call today, I will provide commentary about our first quarter results, the operational steps we are taking to successfully navigate the current environment and resiliency and sustainability of Quanta's customers and business model. Derrick Jensen, Quanta's Chief Financial Officer, will provide a review of our first quarter results and 2020 financial expectations. And then, I will provide additional remarks before we turn it to your questions.  Quanta is operating in an unprecedented health and economic environment with no predeveloped process or playbook to guide us through. This is when [indiscernible 0:03:45] our people who are the very core of Quanta. The tenacity and instincts we have witnessed throughout our operations over the past several weeks has been nothing short of inspiring. We believe our core competency is our ability to safely execute in a challenging environment. Our people work in harsh conditions every day, and we have managed through economic cycles and other challenges throughout our history. While each circumstance is different, our people rising to the occasion is nothing new to Quanta.  We have remained vigilant and have adapted to the unforeseen nature of this pandemic. We have remained committed to our operating and business model and to the successful execution of our objective. We believe our resilient business model and strong financial position provides us with the opportunity to not only navigate through times of uncertainty, like we are experiencing currently, but to come out the other side better positioned.  First and foremost, we remain focused on the health and safety of our employees. We implemented our existing pandemic plan in response to COVID-19 in February to protect our employees in the field and subsequently initiated work-from-home policies where appropriate. We developed our pandemic plan to be comprehensive and are confident it has been effective. We have collaborated with our customers and continue to enhance our plan as we move forward as shelter-in-place orders ease and the density of the general public in proximity to our work areas increase.  At the end of the first quarter, we had approximately 39,500 employees and, to date, have not experienced any meaningful health impacts on the availability of our workforce or key personnel as a result of COVID-19.  Quanta, our customers and the end markets we address are all considered critical infrastructure per government guidelines and are needed to continue to work during periods of community restriction which most states and localities have adhered to. Our proactive steps have not only protected the health and safety of our employees, but have allowed us to provide continuity of service to our customers.  Our services are needed, perhaps more than ever, as tens and millions of people are now working from home and sheltering in place and require reliable electricity, communications, Internet, heating and cooling services.  Our first quarter results were solid and would have put us on track to meet our pre-pandemic 2020 outlook. We ended the quarter with backlog near record levels. We expect record backlog during the year as we renew various master service agreements and secure additional projects, which demonstrates the resiliency of Quanta's business and our favorable positioning going forward.  Demand for our services during the quarter remained high in most service lines tough in the later part of March we began to experience some impacts from COVID-19 and challenges in the energy and industrial market.  Shelter-in-place restrictions in some areas have created disruptions to portions of our operations, particularly in major metro markets, especially those that have been meaningfully impacted by COVID-19. This dynamic has also compounded challenges that the broader energy market is experiencing, which is affecting portions of our Pipeline and Industrial segment. We believe April will prove to be our most challenging month of the year due to shelter-in-place declarations throughout North America and their impacts on our operations in some areas.  However, cities and states are beginning to ease community restrictions. And as a result, we are planning with our customers for the disruptions to our work to moderate. We have been and continue to communicate closely, collaborate with our customers, while we are experiencing some minor permitting delays. We are not experiencing and do not expect to experience significant supply chain disruptions or workforce availability issues. We have proactively implemented certain steps to manage costs, given the uncertain macroenvironment.  Some of the cost management steps we have taken include suspension of hiring and raises at various operations, discretionary spending, non-essential travel and deferral of non-essential capital expenditures. We have also taken tough, but necessary, actions to manage headcount at operations that are facing challenges and uncertainty under the current environment. While we believe Quanta's business will remain resilient and flexible, and we continue to see opportunity for profitable growth going forward, we believe these prudent actions given the circumstances.  We have worked diligently over the past several years to create a more repeatable and sustainable business model. Our portfolio of companies, geographic and services diversity and focus on growing our base business gives us confidence in the resiliency of our business. We estimate 80% to 90% of our revenues are derived from utility, communications and certain pipeline and industrial infrastructure services that we believe will be resilient even in today's environment. The remaining less resilient portion of our revenues, some of which are currently under pressure, could stabilize in the second half of this year, and we believe provide multiyear growth opportunities and reasonable returns. Derrick will provide additional details in his commentary regarding our outlook. Demand for our electric power services remain solid, and we have not seen meaningful reductions in the utility CapEx budgets. Utilities continue to actively deploy capital into their systems to modernize, harden, expand and adapt to current and future needs. Long-time Quanta utility customers across our service offerings are investing tens of billions of dollars to modernize and create sustainable systems for end users over the medium term.  Work on our Watay and East-West Tie Line electric transmission project in Canada is proceeding and to date is not meaningfully impacted by COVID-19. Additionally, throughout our service territories, we continue to actively pursue billions of dollars of larger electric transmission projects, some of which have recently made incremental progress for its final permitting and construction. We are confident we are well positioned for many of these projects. Our communications infrastructure services operation, which are included in Electric Power segment, had a good first quarter with double-digit revenue growth and solid profitability.  Our projects are moving forward with minimal disruption, and we continue to see strong demand for overall fiber densification to reach homes and businesses and the early stages of 5G deployment.  Utilities and electric cooperatives also continue to evaluate opportunities for their involvement in 5G and fiber capacity, and we're actively collaborating with them on solution.  Turning to our Pipeline and Industrial segment. In the first quarter, our gas utility operations performed well in what is seasonally the weakest quarter of the year. Utilities are in the early stages of multi-decade modernization programs to replace aging gas distribution infrastructure to meet regulatory requirements aimed at improving reliability and safety.  However, as shelter-in-place orders were implemented across North America, community restrictions impacted our operations in certain metro markets beginning in the last week of March that continues to date. As a result, we have managed headcount in those markets to match meaningfully reduced utilization rates. However, these restrictions are beginning to lift and our activity and utilizations are gradually increasing as we rehire employees and get back to work. Our industrial and services operations had a record first quarter, driven by broad demand for our services, primarily from refinery customers.  Our core catalyst services are a critical path and necessary for our customers to efficiently refine product. As we entered the second quarter, demand for our catalyst services remains solid. However, due to COVID-19 and challenging overall energy markets, customers began restricting onsite activity for our other services, and deferred maintenance and certain turnaround projects to later this year or 2021.  We believe our industrial services operations will be significantly impacted in the second quarter due to these factors, and we have been implementing initiatives to manage costs to the current environment.  However, we're confident that this delayed work will return in the future as economic and market conditions improve, and we are cautiously optimistic that there is opportunity for stability in the second half of this year.  Certain portions of our midstream ancillary services operations in the United States and Canada began to experience softness in the later part of the first quarter primarily due to challenging energy market conditions, which are amplified by COVID-19 and we have continuing into the second quarter. Quanta has some, but not significant, midstream services exposure to oil-focused areas. At this point, we expect midstream activities in oil-focused areas to be impacted through at least the balance of this year. As a result, we have reduced headcount and are actively implementing cost management initiatives at impacted operations.  On the plus side, we continue to actively pursue billions of dollars of larger pipeline project opportunities, most of which are for natural gas transportation. These larger pipeline projects are needed for long-term transportation of hydrocarbons, are underpinned by long-term commercial agreements with producers and tend to be resilient to the short-term fluctuations in commodity prices. However, permitting and regulatory approvals remain the gating factor for when these larger pipeline projects move forward.  Over the past five years, we have executed on our strategy to mitigate risk inherent in our business and prepare for unexpected events through diversification and maintaining a strong financial profile. We have a diverse, high-quality customer base with low customer concentration, a broad and diverse geographic presence and a diverse and expanding line of services. We believe our diversification strategy, favorable and resilient industry dynamics, and the strategic investments we have made will continue to benefit Quanta during favorable and challenging times and will allow us to continue to serve all our stakeholders.  I will now turn the call over to Derrick Jensen, our CFO, for his review of our first quarter results and 2020 expectations. Derrick?
Derrick Jensen: Thanks, Duke. And good morning, everyone. I'm going to talk briefly about financial highlights of the first quarter and spend more of my prepared remarks discussing the current environment and our forward-looking financial expectations.  Today, we announced first quarter 2020 revenues of $2.8 billion. Net income attributable to common stock was $39 million or $0.26 per diluted share and adjusted diluted earnings per share – a non-GAAP measure – was $0.47. From an operational perspective, the first quarter results largely met our expectations. Our Electric Power revenues, excluding Latin America, were $1.8 billion, an 8% increase when compared to the first quarter of 2019, reflecting continued base business strength prior to COVID-related disruption.  Electric segment margins were 7.3%, and excluding Latin American operations, were 8.2%, in line with our previous commentary which anticipated lower margins in 1Q due to seasonality as well as fire hardening activities being weighted toward the second half of the year.  Recall that these fire hardening activities were running at substantial levels throughout every quarter of last year and the back half weighting in 2020 resulted in some level of cost absorption pressure in the first quarter. Our communications operations, which are included in our Electric segment, grew revenues almost 40% compared to the first quarter of 2019 and delivered operating margins in the mid-single digits.  Our Pipeline and Industrial revenues were $1 billion, 13% lower than 1Q 2019 due to an expected reduction in revenues from larger pipeline projects, the contribution from which was $170 million less than 1Q 2019. Partially offsetting this decline were increased levels of base business activity, including approximately $100 million from acquired companies.  Operating margins for the P&I segment were 3.1%, lower than 1Q 2019, but within our range of expectations for the quarter despite having been impacted by adverse weather across our Canadian pipeline operations. The orderly exit of our Latin American operations progressed during the first quarter. However, the $16.3 million of operating losses exceeded our expectations. The losses primarily relate to early termination and closeout costs associated with projects in the region, exacerbated by stringent COVID-19 stay-at-home orders in the second quarter, necessitating a loss recognition on certain projects in 1Q.  We received no tax benefit for losses in Latin America, so the approximately $16 million in losses impacted the quarter by approximately $0.11, $0.04 more than what we had originally anticipated. Our total backlog was $14.7 billion at the end of the first quarter, slightly below year-end, but $2 billion higher than 1Q 2019. 12-month backlog at $7.6 billion is approximately $685 million higher than 1Q 2019. We continue to see opportunities for backlog growth. However, timing of awards for certain customers could be delayed in the current environment. For the first quarter of 2020, we generated free cash flow, a non-GAAP measure, of $164 million, which included $82 million of insurance proceeds associated with the settlement of two pipeline project claims, as we mentioned on our last quarter's call.  Days sales outstanding, or DSO, for the quarter was 85 days, a decrease of 3 days compared to the first quarter of 2019 due to lower levels of retainage balances associated with larger projects, but slightly higher than the 81 days at year-end.  We had experienced some administrative impacts throughout the business at the end of March, which has continued into the second quarter due to various stay-at-home dynamics. However, we haven't seen any significant pressure on extending payment terms thus far. Due to volatile capital market conditions in March, as a cautionary measure, we borrowed $250 million against our revolving credit facility to ensure we had adequate access to cash to fund our operations in what was a rapidly changing and unpredictable environment. As a result, we had approximately $380 million of cash at the end of the quarter.  Our net interest expense was slightly higher in the first quarter due to this drawdown and, to a lesser extent, due to the deployment of $200 million for the repurchase of 6 million shares of our common stock during the quarter.  As the capital markets improved and risk associated with daily liquidity requirements moderated, we reduced our cash position substantially by paying off outstanding borrowings on our revolver at the end of April and resumed routine funding of daily cash requirements. From a balance sheet and liquidity perspective, we believe we are well positioned to handle the disruptions to our operations associated with COVID-19 and the challenging energy market environment.  As of March 31, 2020, we had total liquidity of approximately $1.7 billion.  Our debt facilities do not mature until October 31, 2022. And as of March 31, 2020, we had a debt-to-EBITDA ratio, as calculated under our senior secured credit agreement, of approximately 1.7 times, within our preferred range of 1.5 to 2 times and well below the 3 times maximum provided for in our credit facility. At the end of the first quarter, we were comfortably in compliance with all of the financial covenants in our credit facility.  The combination of COVID-19 and the challenging energy market environment represents an unprecedented economic impact in the modern era. However, Quanta successfully navigated through the financial crisis of 2008 and 2009 and through the challenging energy market and operating conditions of 2015 and 2016. In both circumstances, Quanta remained solidly profitable, maintained a strong balance sheet, generated solid cash flow, and came out of these periods a stronger and better competitively positioned company. Turning to our guidance. I'll start by saying that our decision to provide guidance and our approach was developed through much internal debate. We concluded that the value of providing a level of meaningful commentary and financial expectations to the investment community outweighed the risk that doing so implies certainty in a very uncertain environment.  Given the circumstances, our outlook commentary should be considered as directional and is meant to be helpful to understand the nature of what we see today. Currently, our expectations for the Electric Power segment remain largely intact. We expect revenues for this segment between $7.5 billion and $7.7 billion and operating margins between 9% and 9.3%, with Latin America contributing operating losses of $25 million to $30 million. Excluding Latin America losses, margins are expected to range between 9.4% and 9.7%.  Certain markets have seen some level of COVID-19 impact to operations in the second quarter, both in our electric and communications services operation, and our slight reduction in annual revenue and margin guidance is largely expected to occur in the second quarter. Annual margins are also somewhat impacted by reductions in electrical work in certain industrial facilities and by slightly higher than previously expected Latin America costs in 1Q and the rest of the year. Having said that, we see the opportunity for this segment to be at or near our double-digit target margins in the third and fourth quarters.  Our largest change in expectations is within our Pipeline and Industrial segment. As opposed to the Electric Power segment, where we've had limited impacts from stay-at-home orders, for the P&I segment, COVID-19 has impacted certain metro markets such as New York, Detroit and Seattle, where despite our services being deemed essential, local governments are restricting and shutting down our work which is creating a material impact. The exacerbating effect of COVID-19 on the challenged energy market is resulting in a meaningful revenue reduction in almost all of our pipeline and industrial services in the second quarter.  Revenues for the second quarter are expected to be as low as $700 million to $800 million, roughly 40% lower than our original expectations, likely resulting in a small operating loss for this segment in the second quarter.  The combined impacts of COVID-19 and the challenged energy market are expected to continue to negatively impact segment margins in our third and fourth quarter. This is particularly true for our industrial services operations as customers are reducing and deferring regularly scheduled maintenance and turnaround activities as a lack of demand for their refined products is pressuring budget. For the remainder of the year, we have assumed a substantial pullback in these areas.  Also, we expect reduced revenue from smaller pipeline and industrial capital projects throughout 2020 to weigh on segment margins as we expect to experience a prolonged effect from the current energy market and its impact on our customers' capital budget.  For the remainder of the year, we see the opportunity for segment revenues to exceed $1 billion in each of the third and fourth quarters and for our margins to range between 6% and 8%. Our annual expectations are for approximately $4 billion of revenues, with operating margins not likely exceeding 5% for the full year of 2020. However, for this to occur, it assumes we have ramped to normal activities early in the third quarter within the metro markets currently impacted by stay-at-home orders and normal activity levels continue for the remainder of the year.  We are aware that investors have at times had difficulty assessing the repeatable and sustainable nature of the Pipeline and Industrial segment, specifically. We believe the complexity of the current landscape only adds to that difficulty. As such, we've attempted to aid investors by providing additional service level detail within this segment in our earnings release and slide presentation, which is viewable through the webcast and is also available on the Investor Relations section of Quanta's website. We've defined these service areas as gas distribution, maintenance and integrity, larger pipeline projects, and other pipeline and industrial infrastructure services. Importantly, the revenue range associated with each area is directional and intended to provide a deeper understanding of the activities performed within this segment, but is not meant to provide a precise view of the revenue expectations by category.  Our expectations for reduced gas distribution revenues and most of the reduced maintenance and integrity revenues are COVID-19 related, either by the previously discussed stay-at-home orders or reduced fuel demand. These services represent the largest component for segment revenues and are the largest component of our base business activity in the segment. We consider these portions of our work as highly resilient and have not changed our confidence in their multiyear repeatable and sustainable contribution.  We think it is valuable to consider that although the COVID-19 dynamic did not exist during the 2015 and 2016 commodity price collapse and we did not own Stronghold at the time, they are our largest provider of industrial maintenance and integrity services today.  During that period, Stronghold was able to grow revenues each year at a double-digit compound annual growth rate and achieved margins within their historical ranges despite the challenging energy market.  We remain comfortable with our expectations to generate approximately $500 million of larger pipeline project revenue in 2020. Although additional project awards are needed to achieve these expectations, we are in advanced discussions with customers on several opportunities that provide us with good visibility. The timing and potential award of these projects is not currently anticipated to be impacted by the economic factors we have discussed.  Our other Pipeline and Industrial revenues represents the portion of the segment that is most impacted by lower oil prices, and therefore, we would consider to be the least resilient. This includes industrial capital projects, midstream work and certain less critical maintenance work. Turning to cash flow. We are maintaining our free cash flow expectations for the year, expecting to generate between $400 million and $600 million. While a reduction of revenue would normally result in increased cash flow due to working capital converting to cash as well as lower levels of capital expenditures, that dynamic is primarily being offset by the expected reduction of earnings due to COVID-19.  Additionally, given the uncertainty across our end markets and the broader economy, we're taking a cautious approach to working capital expectations for the remainder of the year. I'll close my guidance commentary with the belabored point that our expectations are as of today and are based on our ability to ramp to normal levels early in the third quarter. Those and other factors are not within our control and prolonged or reinstituted restrictions on our ability to perform services or the implementation of new restrictions for COVID-19 hotspots that may develop in other metro markets or even at project sites could negatively impact our EBITDA and adjusted EBITDA expectations.  As we described throughout our commentary, the combination of COVID-19 and the incremental pressure that's applied to already unstable oil prices makes it difficult to quantify the distinct impact each of these factors has had on our revised outlook.  That being said, we would estimate at least 70% of the change in our expectations can be attributed to COVID-19 related disruptions, with the remaining 30% largely associated with the residual effects that low oil prices have on our pipeline and industrial customers' capital budget and, to a lesser extent, the increased losses attributable to our Latin American operations. Overall, maintaining a strong balance sheet remains a foundational principle for us as we execute our operational strategies and navigate uncertain market dynamics. Our strong balance sheet has supported our growth, opportunistic deployments of capital and now will be relied upon for resilience through these challenging times.  We see the opportunity for strong cash generation now and in future periods and we will continue to prudently manage our balance sheet and capital deployment to maintain our current strength, provide stability to employees and customers, and to ensure we deliver long-term shareholder value.  I'll turn it back to Duke for closing comments.
Earl Austin, Jr. : Thanks, Derrick. Though we expect our second quarter results will reflect the near-term disruptions we are experiencing and will be the most challenging quarter of the year, we are optimistic that the activity levels and near-term visibility will improve as community restrictions ease and the economy begins to reopen.  As Derrick discussed, we have taken a prudent approach to our outlook for the year based on what we know today. However, we are pursuing opportunities in the marketplace that are not incorporated into our expectations, but that we believe we are well positioned for. And we are just as positive and confident today about Quanta's multiyear opportunities as we were on our year-end 2019 call just a couple of months ago.  We believe our operating leadership and employees are the best in the business and that we will continue to successfully perform through the current environment. Importantly, we remain focused on the successful execution of five key objectives, which are – focus and grow our base business; improve margins; create growth platforms through service line expansions in the utility, communications and industrial industries and adjacent industries where craft-skilled labor is critical to providing cost certain solutions; be the industry leader in safety and training by investing in craft-skilled labor; and finally, deploy capital in a disciplined and value-creating manner.  When considering our commentary about the repeatable and sustainable nature of our operations, we believe our adjusted EBITDA before the effects of Latin America operations and COVID-19 on our 2020 expectations continue to trend towards the $1 billion level that we have spoken about the last several years. Quanta was built for times like this, and we are confident in the resiliency and sustainability of our business model. Despite the near-term challenges, we believe Quanta has a long runway for generating repeatable and sustainable earnings ahead of us as we execute on strategic initiatives.  Considering our organic growth opportunities and the levers available to us to allocate future cash flow generation into value-creating opportunities such as stock repurchases, acquisitions and strategic investments in dividends, we believe Quanta has the opportunity to generate meaningful stockholder value over time.  As we have discussed many times in prior investor communications, our people are the heart of Quanta, and it is their hard work and dedication that has produced several years of record results and will be critical to our success going forward. I again want to recognize and thank them for their hard work and dedication during this challenging time. We are focused on operating the business for the long term and expect to continue to distinguish ourselves through safe execution and best-in-class field leadership. We will pursue opportunities to enhance Quanta's base business and leadership position in the industry and provide innovative solutions to our customers.  We believe Quanta's diversity, unique operating model and entrepreneurial mindset form the foundation that will allow us to continue to generate long-term value for all of our stakeholders. With that, we're happy to take your questions. Operator?
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Andy Kaplowitz with Citigroup. Please proceed with your question.
Andrew Kaplowitz: Duke, if we look at the breakdown of your expected revenue for 2020, given that gas distribution and maintenance and integrity are now big businesses for you, it appears a little more than half of the revenue hit is expected to come from these businesses despite them being relatively resilient. So, my question is, given the critical nature of this type of work, is this really just pushing this revenue and its relatively high-margin into 2021 and you should get it back or could some of it actually be lost revenue for you guys?
Earl Austin, Jr.: Yeah. Good morning, Andy. Thanks for the question. I think when you look at our business and you look at that piece of business, what we had is, in the quarter as well as in the year in our guidance, you had the light switch effect of cities closing. And so, when you think about it, when you think about – just take our New York business, that business, relatively 90% of that work shut down in that area because of the COVID-related impacts. And we worked with the governor, worked with our clients there. That type of work. We had to deal with the customer when you shut gas off and things like that, you're dealing with the customer you're interfacing. So, that type would shut down. What we have seen is that work come back and start to come back. Let's say, it will ramp back. It won't be like on and off. It goes off really quick and you start ramping back. So, that's what you'll see coming back in all the cities. It was not only in New York. It was Seattle, Detroit, others. So, that's the impact there in the quarter. And some of that is not going into the year. So, when you look at the total, it's majority of the second quarter is that when you think about the impact there. So you had that.  You also had lower fuel pricing on oil. And then you had the demand side of that as well, which that's more so what we're seeing in outer quarters. So, the original impact and the demand, and it's about 70% of what we're looking at is COVID-related for our guidance going forward as well as in the quarter, it's the majority of the quarter which is a light switch effect. Derrick can provide some more numbers on it in the guidance. Derrick?
Derrick Jensen: Yeah. Actually, I want to come back to a part of the question, Andy, on the relatively high margins. I also think it's very important to recognize that these are contribution margin type dynamics, not necessarily the overall margin profile of the work. When you have, as Duke mentioned, a light switch type event on the revenue side, the cost structure doesn't change quite so rapidly. So, the contribution margins become quite high because it's right at the incremental stage. As you deal with costs, holding on to costs because you think you're going to be turning around. And to your point, ramping back up and dealing with work on a more recurring basis in 2021. So, important to recognize it's the contribution margin, not necessarily the margin overall of the work.
Andrew Kaplowitz: Derrick, they can't really cancel this stuff, right? They can just defer it or can they just like a push, an inspection or something like that and not do it, right? It's more deferred than canceled, right?
Earl Austin, Jr.: Yeah. When you think about our gas – our LDC business and our gas distribution business which is – we've given some level of guidance on that, well over $1 billion. That business, we feel, was very resilient. It will be in outer quarters.  This was just the fact that when Governor Cuomo decides to shut down New York, many of you are there, you understand it's shut down the city. And so, in certain cities, we adhere to the policy. We did keep some staff. But I would say, all in all, you won't see that going forward. We put in place PPE, things like that in the future. I believe those things – those crews and that piece of business will stay resilient even throughout New York. So, yes, deferral.
Andrew Kaplowitz: Yeah. Got it. That's helpful. And then, Duke, you mentioned that you still expect record backlog this year, which means you still have visibility to grow backlog despite the lower oil price and the pandemic. So, maybe you could talk about where the conviction is coming from. You mentioned some bigger MSA renewables. You can give us some more color there. But do you still see good opportunity for large transmission bookings in 2020?  And given you do expect record backlog, it would stand to reason that you don't expect a big hit to your oil and gas backlog. Is that because of the oil sensitivity now, the backlog really is at low levels?
Earl Austin, Jr.: When you look at the business, we still remain highly optimistic and convicted to our strategy. And that strategy is around the longer-term MSAs that you see on programmatic spends within the oil and gas segment or the P&I segment as well as the Electric segment. We're relatively intact in the Electric segment, which shows you the resiliency there. We've talked about the backdrop of the utility business. And almost all of our clients, 95% of them, their three-year capital budgets or long-term capital budgets have remained intact. You've had some push out maybe to year two versus year one, very little. But we see that business strong. Continue to see great opportunities in the programs there. There's opportunities for larger projects. The larger project piece of our electric transmission business has been robust, the bidding, and so we have not seen any pullback there. We talked about the fire hardening work on the programs being in the later half of the year, we're starting to see signs of that ramping now. So, it's all intact.
Derrick Jensen: One other way to think about this is that, when you think about kind of from that top-down perspective, we had talked post year-end call throughout that we saw – roughly, let's say, 10% of our business was kind of commodity-related. And that means that the vast majority of our business is not. And of that commodity-related component that might get impacted because of headwind to oil, we said that we found it very unlikely that roughly that $1 billion levels would go to zero. I think that you can see kind of in some of the numbers we've laid out here now. We've laid out that there is a headwind effect, but there's still a substantial amount of those revenues we think are still yet ongoing. So, there's kind of a somewhat muted revenue effect.  From a backlog perspective, what we'd say is that that component of the business is reasonably quickly book and burn, and so it doesn't represent a significant portion of our overall backlog. So much of our backlog relates to those longer-term perspectives that are more resilient. So that I think maybe colors how we continue to feel about the strength of the backlog as we move forward.
Operator: Our next question comes from the line of Jamie Cook with Credit Suisse. Please proceed with your question.
Jamie Cook: Hi. Good morning. Glad to hear everyone is healthy and well. I guess my first question is short term. To achieve your guidance, what are you expecting in terms of the cadence of easing of shelter-in-place? Like, I'm just trying to understand what you're assuming there and just if you could talk to how bad April was. And then my second question is longer term and it's directed more toward you, Derrick, I guess. I'm just trying to think about normalized EPS for Quanta. Even if I look at the guide today and then I add back what was related to COVID and then I add back the $0.20 or so headwind from LatAm which is one-time, I think it's easy to paint a case that normalized EPS, with the backlog that you're talking about too, is $4, isn't a crazy number to throw out there, Derrick. So, any comments or am I way off base there? Thanks.
Earl Austin, Jr.: I'll comment too, in generalities. I think when you look at the business, Jamie, we've built a resilient business that we feel like we talked in the script about $1 billion kind of run rate on it from an adjusted EBITDA standpoint. I think you see that. I think we're convicted to those kind of numbers.  Derrick talked about the COVID effect and what it did to the second quarter margins on P&I. So, if you look at that and you think about it and you think about the second half of the year, you get some COVID one-time effect, which is, call it, 70% of the whole revision in guidance. And then, the majority of that 70% is in the second-quarter and it's a one-time effect. So, when you look at that, you're right, the run rate gets back to a more normalized basis and you have a rate base going forward. So, it's a one-time light switch type effect in many ways.  There's some impact on demand. So, there's a demand impact you have out there when oil goes to negative. You just don't know how fast that industrial business ramps back, but we have a really good management team there that will take advantage of some opportunities out there and grow that business even through this, in my mind. So, I'm not concerned. They did it in the past. And they had a record quarter. We have a critical path business there that's our base. So, I'm extremely pleased with where we sit, and we'll come out stronger. But, Derrick, you can comment on the rest.
Derrick Jensen: I agree with everything you said. And as well as, Jamie, I don't take really exception with your perspective kind of the multi-year. The Latin America, as we called out very explicitly, has no tax benefits. So, those things are fairly pronounced. We clearly don't look at that as being a repeatable, sustainable component of our business. So, the midpoint of our guidance, by definition, as you go forward, would have some level of add-back for Latin America.  When we go through and talk about the adjusted EBITDA, in fact, we did our best effort to quantify how that COVID, very much April, exactly as you called out, very much second quarter in total, call it, roughly 70% of the number. When you start looking at that component being non-recurring and our expectations looking at 2021 and 2022 being regular operations that would add back into that, and you start to really ramp up into the numbers that we're talking about. We would largely consider the headwind we're dealing with right now is kind of on the oil side. And we think we've otherwise shown up in the past our ability to execute through that. So, I don't take exception with your math.
Jamie Cook: Great. Thank you. Stay well.
Earl Austin, Jr.: Thanks.
Operator: Our next question comes from the line of Noelle Dilts with Stifel. Please proceed with your question.
Noelle Dilts: Hi. Thanks. Good morning.
Earl Austin, Jr.: Good morning, Noelle.
Noelle Dilts: Good morning. For my first question, I was hoping you could expand on the three acquisitions in the quarter. And then, if you look at kind of difficult market conditions, particularly with some challenges on the oil side of the business, I would think that some of the smaller competitors in the market might be under pressure. So, I was curious, as you think about M&A moving forward and the potential for some consolidation in the industry, kind of the markets that you view as most interesting and where you might look to expand. Thanks.
Earl Austin, Jr.: Yeah. Thanks, Noelle. It was two acquisitions. Two small ones, I think combined, less than $20 million. One was a telecom business in the underground side of the business that we felt regionally that could add value there. And the other was to support some catalyst stuff in the industrial side of the business.  So, two small ones that we believe that the synergies and they support kind of our strategy. I think that's that. What was the other part of it?
Noelle Dilts: If you look at everything that's going on in the market, COVID and oil, I would think a lot of – some of your smaller competitors in the market may be under strain. So, where you might look to potentially acquire or expand if you do see some of your smaller competitors come under pressure?
Earl Austin, Jr.: Yeah. Thanks, Noelle. Yeah. When we look at it, I think we talked about the industrial business was able to grow the last time that you saw this kind of impact. So, I think we have a good opportunity there to organically grow areas. I would say we'll be measured in that approach. We have a real nice business, and so we'll watch it. But all around, you are seeing people start to get nervous about their jobs and things of that nature. So, we'll have opportunities to organically grow. There'll be opportunities for M&A. We'll be selective and smart. Obviously, we'll use our balance sheet like we have in the past, given the backdrop of what we see from a demand side of the virus. So, we'll be measured and conservative as we always are, but I think there will be opportunities when we look at the businesses. And we'll come out stronger, as we said.  I like our chances. I like what we're doing. Our customer base is really looking at big balance sheets and things of that nature. We've done a nice job protecting that. We're collaborating quite a bit on their capital budget.  The one thing that is perplexing is some of the smaller companies have taken loans and things like that. And I don't know the impacts of that. So, it's a little bit of imbalance from that standpoint. So, I don't know what the effects of that will be and how long that will last. But, normally, you would see capitulation in some of the smaller stuff. I don't understand the dynamics of the loans or grants, whatever you may call it at this point.
Noelle Dilts: Okay. Okay, thanks. And then when you look at the markets that were completely shut down, any chance you have that – how much those markets represented as a percentage of sales? And then, if you could just comment on how flexible the workforce has been there. If you could comment on – in a market that's completely shut down, for example, are you holding on to some of your folks in anticipation that those markets are coming back quickly? How do we sort of think about the underutilization element of some of those market shutdowns?
Earl Austin, Jr.: Yeah. I'll go backwards on it. The people aspect, we have a long-time companies. And I think this really – you see our portfolio and you see how we run in the field, decentralized, and we're very, very close to our employees as well as our clients and government officials. So, it allows us to stay very vigilant. We can go down and we can ramp back fairly quickly. We self-perform 85% to 90%. I continue to say that's the strength of Quanta, is that self-perform capabilities. We ramp right back. And I think we'll just go at the pace that our customers allow us to start that. It's somewhat of a seasonality effect, in my mind. If you take out COVID, we're starting to see the seasonality kind of where you would ramp back quickly when you shut off for winter. It's similar to that in the pandemic. And we're ramping back in a gradual step in some areas. But as we said, it only affected a certain piece, certain cities, not the majority of the business. The Electric business stayed intact. It is mainly the LDC and some industrial where people took different approaches.  As you've seen on the news, you see how states are opening things like that, our major metro areas where we had concentration in a few places, Seattle, Detroit, Pennsylvania, New York, other areas, it just affected us a little more. And that's the major impact, the majority of the impact in the quarter.
Derrick Jensen: And, Noelle, it's difficult to quantify that as to what percentage of sales because we do other activities in those business. A great example, in Seattle, we do a lot of electric work up there. We do a lot of electric work in the Midwest. So, quantifying like that is very difficult.  What I would tell you is that, as you look at the supplemental information we provided on gas distribution and maintenance, the pullback there, that's where you'd see kind of that market impact. So, if you saw those markets move, you'd probably see it in our expectations of gas distribution and maintenance [indiscernible 0:50:49] clearly. And it could be, let's just say, revenue-wise comparable to what some of the numbers that you saw in our expectation changed in the supplemental segment.
Operator: Our next question comes from the line of Brent Thielman with D. A. Davidson. Please proceed with your question.
Brent Thielman: Great. Thank you. Good morning. I actually had a non-COVID question. And, Duke, this is more around the executive order to sort of blacklist certain equipment vendors utilities can use for the grid. Do they have a contingency for that? And I'm just wondering if that might mean anything for Quanta either in the short-term or long term?
Earl Austin, Jr.: We work with the clients on it. I have not seen – a lot of the major transformers and some of the communication equipment within your systems come from areas that the government has deemed – it's on the blacklist, to put it that way. I think for the most part, we've seen the ability to overcome those kind of type orders and move forward. I understand what they're saying at this point. In my mind, we're an American company. We're not really relying on the equipment that they're talking about to progress forward in our workforce. It's really the back -- the front side of it, I guess, what I would say is how the system communicates more so than the actual hardware and things of that nature. So, we're in good shape as it sits today.
Brent Thielman: Got it. Okay. And then, I guess, as every company is kind of looking at the cost profile these days, I'm just wondering if utilities probably look to tighten belts at least in some areas. Does that potentially accelerate the outsourcing movement? Is that something you saw coming out of the financial crisis? Just curious your thoughts there.
Earl Austin, Jr.: Every utility is different and every city is different. It just depends on where you're at on your pendulum mark. I think most have really looked at their capital budgets and said, yes, we're going to go forward with it. In the past, a lot of it had to do with demand. What we're seeing for the most part on that side of the business has a lot to do with modernization and things of that nature. It's not contingent on demand. I won't say demand doesn't create some issues for us. But for the most part, a lot of the things that we do and doing is we're shifting to renewables. I don't think that changes. We're not going to see technology stop. Electric vehicles is going to continue to move forward. All the things that we've been doing and been talking about really show up in this time frame even in somewhat depressed type demand. So, I feel good about it, and I feel good about everything we talked about. Our customers continue to talk about the long-term nature of their capital programs, and that's us. And so, we're right there with them, trying to collaborate to get it moving.
Brent Thielman: Okay, thank you. 
Operator: Our next question comes from the line of Andrew Wittmann with Baird. Please proceed with your question.
Andrew Wittmann: Great. Thanks. I think my first question is probably for Derrick. And, Derrick, I wanted to ask about management of receivables, particularly in the Pipeline and Industrial business. Obviously, this is a business that has historically consumed more working capital than the other businesses and the credit quality of some of those customers has degraded pretty significantly. I was wondering what you're doing today to make sure that you don't get burned on the back end.  And in terms of things that you're putting in the contract, are you shortening terms on collections? Are you expecting prepayments? Anything to that nature to protect shareholders, I'd be curious as to how you're managing that.
Derrick Jensen: Sure. So, the reality is that – I think a major portion of your question is how much of that is in this oil-related environment, do we have exposure to things like MLPs and the like. And honestly, the majority of the things that we do still yet is with larger customers with substantial credit profile. So, we do go through and monitor that. We're seeing fairly minimal exposure, as it stands today, associated with anything that is with kind of lower credit quality customers because the nature of our customers are really again back on more of the higher quality dynamics. So, we don't see anything right now. We're not really concerned any more incrementally in pipeline than we were before based upon the backdrop of the quality of those customers.  We're always mindful of our contract terms, and we'll continue to be mindful of as new work comes about, looking at the credit quality. But right now, we have no incremental significant concern.
Andrew Wittmann: Okay. That's helpful. And then, my follow-up question, I just wanted to ask about the kind of remaining steps to get out of Peru. How much more, I guess, maybe backlog is left to do there to finish up? And how much more capital needs to be extended from you guys at this point?
Earl Austin, Jr.: Yeah. When we look at it, I think we've sped it up in the quarter. So, we're really driving to get that largely complete this year and be out of LatAm, for that matter. We'll still have some ongoing legal concerns. We're still trying to opportunistically divest some areas and things of that nature. But I would say largely, this year, we'll be out of there and took some steps in the quarter to move it faster, not slower. It's our desire to move that quicker. And some of the COVID impacts, they shut down certain areas that just shut it down. And I'm glad that we had already moved as fast as we had or would have been more impact. It's our desire to certainly move there. And the legal implications there will go on for 18, 24 months. So, that will be going.
Derrick Jensen: Relative to the additional project demand, we have no sizable things left to do on the individual Peru project. Overall, in Latin America, we do have other operations than just Peru, which is some of the shutdown costs we have.
Operator: Our next question comes from the line of Sean Eastman with KeyBanc. Please proceed with your question.
Sean Eastman: Hi, guys. Thanks for taking my questions. High level one for me to start. I'm just curious what you're seeing from the federal government here just in terms of potential growth opportunities around stimulus measures and just this focus on reshoring of critical supply chains. Any kind of incremental opportunities you guys are seeing there? Anything you'd point out that we should be tracking?
Earl Austin, Jr.: When we look at what the government has done with liquidity and things of that nature, certainly, we see the ability – our customers are sustaining their capital. The current administration certainly wants people to work. Manufacturing, all those kind of things that would help with load. I'm not sure what will happen on oil pricing. And we have seen some rebound there. We'll just have to wait and see on that.  But really, it's a demand side. When the airlines get going back and the COVID part of that will create that demand once we get going back in the later half of the year. So, I think just the impacts of them, of the administration putting in liquidity certainly helps all of our clients and our customer base. It remains robust. We haven't seen much change. I think the opportunity is, if we get some infrastructure builds, the ancillary effects of those things certainly help us. Everything that we've seen from them and have discussed with them is to get jobs moving. We self-construct 85% of our business – 90% of our business probably at this point. So, those jobs are great jobs. And I think where we sit is in a really good spot here. So, we'll move that forward as they come out with stimulus packages.
Sean Eastman: Okay. Thanks, Duke. And next one for me is just trying to understand this industrial services piece a little bit better. What do we need to see happen for a recovery in the back half year? I'm just curious what was the driver behind Stronghold's ability to grow revenue through the last energy downturn? Just trying to get a sense for oil price sensitivity on this piece of the business.
Earl Austin, Jr.: Yeah. When you look at Stronghold, they are critical pieces of the catalyst replacement, things of that nature. Also, our high voltage side of the business, that's necessary. So, those guys continue to stay out there. It allows us a great base to build off of and to do other services. Those smaller guys, they can't stay. We tend to go into more programmatic type arrangements with them on turnarounds and things of that nature. We can be more efficient. We can do a lot more things quicker. So, they really look at time and things of that nature on a go-forward basis. So, we can really come off the strength of really the core and grow it here. It's pretty easy in good times. People don't really look at how their supply chains work. In times like this, people are really looking at how their supply chains work. So, they can become more efficient. We feel like we're in a really good spot there. That's why they grew last time. The second half of the year, we're not losing money there. It's just we don't have the same outlook as we had in the past. Part of it is the unknown. Anytime you're dealing with unknown, we'll take a prudent approach to it, and we did. We'll see where the demand goes in the second half of the year. But it's all based on refining capacity and things of that nature toward airlines, everything. So, when the whole economy shuts, it just creates that. We'll have to see how quickly that comes back in the refining business.
Operator: Our next question comes from the line of Steven Fisher with UBS. Please proceed with your question.
Steven Fisher: Thanks very much. Good morning. Just looking out beyond 2020, you talked today about the fire hardening visibility picking up. At this point, do you think you can get that back to the pretty solid 2019 levels that you had when you look at some of the plans from your customers and their spending? And any other thoughts on things like Puerto Rico?
Earl Austin, Jr.: Yeah. So, hey, Steve. I think when you look at the fire hardening and what we've seen recently in some of the larger customers, we've seen them basically look at their CapEx out. They've either grown their CapEx from what they said last year.  Going forward, I just think the spend has become more utility like. One of our larger customers there is coming out of bankruptcy. I said in the past, on past calls, as they come out, it will be more traditionally and we'll get our crews levelized in the west. So, I think we've done that largely through the first quarter. We've got more levelization there. And we'll ramp to their CapEx budgets that will start in the second half of the year. And that should maintain for the foreseeable future at very heightened levels.  If you think about it, like anything that we have, we can also work more over time. We can do some things in the back half if customers want to move capital budgets into this year or to next. So, we're able to move up and down with that. That was part of what happened last year, had to get a lot of work done very quickly. So, it created a lot of overtime and things like that. You could see those kind of dynamics happen in the back half. We've not built anything like that into guidance.  As far as Puerto Rico, we've said it before, we'll say it again. The opportunity there is significant, and we're highly optimistic that we're in a good spot, and we maintain that. We've maintained our dialogue with Puerto Rico. So, we're optimistic there.  It just shows the breadth of Quanta and all the opportunities that we do have. And we have a really good repeatable service business that would fall in line with that over the long term.
Steven Fisher: And just a couple of clarifications on some of the guidance items. What will now determine the upper end or lower end of the cash flow range? Is one, you still need that $500 million of pipeline work, when do you expect to book and break ground on that? And then, can you give us where you stand on the utilization of your LDC assets right now relative to where it was at its worst? Thanks.
Earl Austin, Jr.: Yeah. I think we talked about April being our worst month, and we're starting to see the manhours move the other direction. We're in constant contact with our clients. It will ramp from, call it, now till it stops, sooner rather than later, hopefully, but we'll just have to see how that ramp goes on that piece. It's really basically making sure that the cities and – protect our employees and also our customers and users. So, that's the main thing, safety. And that concern is something that we'll look at as we move in those cities. And it will be a gradual ramp, somewhat like seasonality. And I'll let Derrick comment on the cash flows.
Derrick Jensen: Yeah. I think that it's really the growth dynamic. If we end up seeing the back half of the year, Duke just laid out that there were some additional opportunities that were there, that we at the time be prudent on it, to the extent that those opportunities are realized and you see greater levels of whether it be MSA, fire hardening, whether it be the utility dynamics. That would put a draw of working capital. That would be on the low end of free cash flow.  And then, as well as just what happens from rate of pay. We do not see anything currently. But to the extent that as we get out into the third quarter, whatever you could see rate of pay slow for some of our customers, and we've factored some of that in. So, I think that would put us in the low end of our free cash flow.  High ends are kind of the opposite. If the prudency that we've tried to address of that is the rate of pace stays the same, I think you start to see less pressure there, and you start to see a little bit more free cash flow conversion.
Earl Austin, Jr.: Yeah. We're not concerned with the $500 million. I think from my standpoint, we'll book that. And that's in good shape and it'll start kind of mid second quarter, and you'll see some ramp from there.
Operator: Our next question comes from the line of Adam Thalhimer with Thompson Davis. Please proceed with your question.
Adam Thalhimer: Hey. Good morning, guys. Congrats on Q1 and thanks for giving guidance.
Earl Austin, Jr.: Hey. Thanks, Adam.
Adam Thalhimer: On the first question, I wanted to ask on the electric side, how resilient do you think the CapEx budgets are going to be next couple of quarters?
Earl Austin, Jr.: They've all maintained pretty much their guidance and gave multiyear. I think the biggest thing that we've continued to try to feed home is, if you look at our customer base, they continue – it's not this year. They continue to give multi-year guidance. And it's different than it was previously where utilities were more demand-driven and that's based on power plants, things of that nature, new build, new capital. What you have – why we're confident, why we've been confident on the backdrop of that is most of the work has to do with interconnections of renewables, with grid hardening, with getting ready for electric vehicles, with technology, those kind of things. And that maintains. I think America will maintain that. We want that and it will move forward. And we see it. It's very visible. And every one of them maintains their three-year outlook, four-year outlook on that.  Our telecom business as well is – I would just say there's opportunities there really as dynamic as anything we have in any service line we have, and we did a nice job in the quarter. And I think you'll see that continue to ramp rapidly.
Adam Thalhimer: Okay. And then, I wanted to ask on the – on Stronghold's business, this isn't a normal economic downturn. So, as the shelter-in-place orders get lifted and miles driven goes up, why wouldn't that business snap back faster?
Earl Austin, Jr.: We can always take a prudent approach to it. I just can't tell you – it's basically how fast does airlines get moving, how fast do we move, how fast does the demand come back. It's us being measured about it. And we can't – turnarounds can push a little bit. They can push into 2021. So, from our standpoint, we're doing the best we can with the shutdown piece or the turnaround piece of the business.  When you look at the Gulf Coast, we refine for the world. It's not just North America. And this refining capacity and where we fit in it is really the hub of the world. So, we have to make sure that the world comes back as well.
Adam Thalhimer: Okay, thanks.
Operator: Our next question comes from the line of Blake Hirschman with Stephens. Please proceed with your question.
Blake Hirschman: Yeah. Good morning, guys. Thanks for squeezing me in here. Just a quick one for me. The free cash flow was real strong. The outlook good as well. It looks like you bought back a lot of stock. Is that going to be the primary kind of use of the free cash flow that you expect to generate this year?
Earl Austin, Jr.: Yeah. I think when you look at it, we'll be measured with our capital. We'll be measured with our cash. So, we want to make sure that we – this is unprecedented times. We'll continue to look at it, but I would say with the same discipline that we've had in the past. We do have some strategies around what we're trying to grow and things with our M&A. But there's nothing imminent there. There's nothing that I would say would be large there, and we would also be patient and prudent when we look to deploy on M&A. But, obviously, we leaned into the stock. We felt comfortable doing that in the first quarter. So, we've always kind of had a traditional approach to that. And I don't think that changes other than the fact that we'll be more prudent about it and make sure that the economy comes back and our cash position is in good shape.
Derrick Jensen: You've seen us, definitely, over the years move opportunistically in the buybacks. And there are times when we've moved opportunistically, we'll move sizably. As we look forward, to the extent there are M&A opportunities, we'll measure those through yet against the burden of how do we think deployment into our – buying back ourselves work because we always want M&A to be something that ultimately would create more value than buying back our stock, and we will continue to do that. And then, like we've said, we'll be measured against how that plays into the working capital dynamics, making sure we still position ourselves to be able to manage this. But we think multiyear is the repeatable sustainable business with growth.
Blake Hirschman: All right. That make sense. That's it for me. Thanks.
Earl Austin, Jr.: Thanks, Blake.
Operator: Our next question comes from the line of Michael Dudas with Vertical Research Capital. Please proceed with your question.
Michael Dudas: Good morning, Kip, Duke, Derrick. First question, maybe you can elaborate a little bit more on your pretty good success you're seeing in comms business with 5G. COVID situation, the new normal, do you think we're going to – have you seen any evidence or expect to see evidence of ramping up or really pushing some of that work through maybe at a better pace than anticipated going forward?
Earl Austin, Jr.: We've taken a measured approach to it. We're getting scale in most of our cities that we're in. We have certainly some larger opportunities there. I do think that the amount – we've certainly changed through this as we look at it and look at the demand of data at home. When you're trying to have conference calls and things of that nature and you have intermittent fee and all those kind of things as everybody uses Zoom and whatever else we're using. I personally haven't got quite there yet, but I'm working on it. And I think you'll continue to see that as we move forward. And the data that's really needed there to get the right kind of interaction between people is the bandwidth that's necessary. Certainly, we've got a long way to go. And we'll continue to do that deployment across the board and we're in current discussions all the time with our clients on that end to build up broadband.
Michael Dudas: Duke, you've got to get Zoom compliant. It's the 21st century here.
Earl Austin, Jr.: I hear you.
Michael Dudas: My follow-up is, as we look towards a 2021 time frame, a normalization hopefully in the economy, in your businesses, can you speak to craft labor access going to change? Obviously, with big unemployment levels, but you still think some of the skilled positions might be relatively in demand. How do you see that playing out? And do you anticipate that maybe gaining some more folks to come to your colleges and get more involved in your business relative to the longer-term view that you have with your client? Thank you.
Earl Austin, Jr.: It helps us. I think it helps recruiting. And we're looking at young folks getting into the workforce when they see stability. It always helps us. Typically, the oilfields draw out people that would normally come into our businesses. So, if you see some decline in the midstream business and things like that, they tend to move back into more sustainable type businesses, which ours is that. So, it should help us in that area.  But I think we've invested quite a bit there. We continue to get people there. And so, I'm optimistic on our workforce. And the model that we have, it really helps us to be localized in long-standing companies in regional areas. People resonate with a logo that's been there 50, 80, 100 years. They get it. And so, they want to go there to go to work, and it really helps us in this environment.
Operator: Our final question comes from the line of Alex Rygiel with B. Riley. Please proceed with your question.
Alex Rygiel: Surprisingly, I don't think I've heard too much talk about Keystone. Could you address your capabilities, availability of crews and equipment, the possible timeline of Keystone and how that can play out as it relates to bid, award, construction opportunities, etc.?
Earl Austin, Jr.: Yeah. Alex, obviously, it's something we've – it's been around since 2009. So, we bought rights to fight right there with TransCanada with them. So, we'll stay with them. We obviously are in constant conversations on time frames and things like that with – we have capacity and we have not baked any of that into the guidance at this point. And I think the logistics piece is kind of moving forward. So we are seeing some signs of life in Keystone. I don't want to get overly optimistic about it, but that's certainly there. I do think it's one of those projects, is a critical project for Canada as you saw Alberta go in and support the Alberta piece of it. So, that's a great sign there in Canada.  So, I'm optimistic about it. It seems in this time frame that we've seen the tougher projects to kind of move forward. And I don't know whether it's because of media or coverage or things of that, but some of our tougher projects have moved forward that I would have thought wouldn't have moved as fast. So, I'm optimistic about it.
Alex Rygiel: I also want to thank you for taking the hard path of providing guidance. Very helpful here.
Earl Austin, Jr.: Yeah. Thanks, Alex. Derrick and I debated quite a bit about it. I think it's the right thing to do. So, we'll move forward with it and give you better clarity in second half of the year.
Operator: Since there are no further questions left in the queue, I would like to pass the floor back over to management for any closing remarks.
Earl Austin, Jr.: Yeah. First, I want to thank everyone for participating in the call. I can't say enough about our employees, our customer base that we have that have been through many, many times that are tough. And we've made it through the other side together and collaborating. And I think you'll continue to see Quanta do that.  So, thanks for participating with us today and your ongoing interest in Quanta.
Operator: This concludes today's teleconference. You may now disconnect your lines at this time. Thank you for your participation. And have a wonderful day.